Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Euroseas’ Conference Call on the Second Quarter 2016 Financial Results. We have with us Mr. Aristides Pittas, Chairman and Chief Executive Officer; and Mr. Tasos Aslidis, Chief Financial Officer of the Company. At this time, all participants are in a listen-only mode. There’ll be a presentation followed by a question-and-answer session [Operator Instructions]. I must advise you that the conference is being recorded today. Please be reminded that the Company announced their results with a press release that has been publicly distributed. Before passing the floor to Mr. Pittas, I’d like to remind everyone that in today’s presentation and conference call, Euroseas will be making forward-looking statements. These statements are within the meaning of the federal securities laws. Matters discussed may be forward-looking statements, which are based on current management expectations that involve risks and uncertainties that may result in expectations not being realized. I kindly draw your attention to Slide number 2 of the webcast presentation, which has the full forward-looking statement, and the same statement was also included in the press release. Please take a moment to go through the whole statement and read it. And I’d now like to pass the floor to Mr. Pittas. Please go ahead.
Aristides Pittas: Good morning and thank you all for joining us today for our presentation and conference call. Together with me is Tasos Aslidis, our CFO. The purpose of today’s call is to discuss our financial results for the three and six months period ended June 30, 2016. Let’s turn to Slide 3 of our presentation for our financial results overview. Starting with the second quarter of 2016 located on the left hand side of the table. We reported total net revenues of $7.3 million. Net loss for the period was $19.2 million, while net loss attributable to common shareholders was $19.6 million. The difference being approximately $0.4 million of dividends and Series B preferred shares. Adjusted net loss attributable to common shareholders for the period was $4.1 million or $0.51 per share basic and diluted. Adjusted EBITDA for the second quarter of 2016 was negative $0.9 million. The results for the second quarter of 2016 include $1.4 million loss on a newbuilding vessel termination contract and $14 million impairment charge on investment in Euromar joint venture. Moving to the right hand side of the table to go over our first half 2016 results, we reported total net revenues of $13.9 million. Net loss for the period was $22 million, while net loss attributable to common shareholders was $22.9 million. The difference being $0.8 million and dividends and Series B preferred shares. Adjusted net loss attributable to common shareholders for the period was $2.82 per share basic and diluted. Adjusted EBITDA for the first half of 2016 was negative $1 million. The results for the first half of 2016 include $1.4 million loss on termination of the newbuilding vessel contract and $14 million impairment charge in Euromar joint venture. During the last few months we have managed to improve the liquidity of the Company by restructuring or refinancing some of our loans. Our revised loan profile developments and clearing up above balance sheet by taking the necessary impairment combined with the development in our newbuilding contracts which we will described later have reduced the required capital expenditures and significantly improved the liquidity outlook of Euroseas. We remain focused on how to take advantage of the low vessel price environment and find opportunities to expand and renew our fleet. As a first step towards this direction we are giving yesterday to acquire Feeder containerships to replace Motor Vessel Captain Costas which was recently sold. Additionally, our Board of Directors authorized the establishment of an ATM as the market buffering or up to 15% of our Company shares which management may implement upon its discussion, if it feels this is will assists in the plant fleet renewal and further vessel acquisitions, plus also help in attracting new investors and increasing the trading liquidity of our stock, something which I have already started seeing happen. Management remains committed to growing the Company and enhancing shareholder value. Please turn to Slide 4 to discuss our operational highlights for the quarter. For our operating fleet, we have extended the employments for the containership vessel Ninos at least until October 2016 at $7000 per day. This is our eldest vessel in our fleet. For our bulkers during Q2, the Monica P was fixed on a 25-day trip at $4,650 per day and thereafter for a 23 at $4,000 per day. Subsequently the vessel will be drydock. The Eleni P was fixed on a 25-day trip at $6,000 per day followed by 25-day trip at $5,100 per day and that today fixed for an about 90-days trip equating to a time charter equivalent of about $5,500 a day. As mentioned above, we are happy to announce that we have agreed to purchase the Motor Vessel Aegean Express, a 1997-built 1,439 teu fully cellular containership to replace M/V Captain Costas, the 1992-built containership which was sold during the second quarter of 2016. The Aegean Express is younger by five years than the Captain Costas and we were able to purchase it for a marginally higher price than what the Captain Costas was sold for. Turning to Slide 5 to discuss our newbuilding program developments. Recently, we announced the cancellation of one of our Ultramax newbuilding contracts with the Dayang shipyard due to excessive delays in the construction of the vessel. We have demanded the return of our progress payments and other expenses as specified in the newbuilding contract and secured by the refund guaranties. The parties have referred the matter to arbitration. The second Ultramax at the same yard is also facing significant delays and similar developments are highly comparable. Also as already announced a few days ago, we signed a contract addendum with Yangzhou Dayang shipyard agreeing to a new delivery date in Q1 2018 for the construction of our last Kamsarmax vessel, which can convert to a different vessel type or even use the payment already effected to acquire a different vessel from the yard. In addition, we have agreed that in our option, we can cancel the shipbuilding contract by the end of December 2016 with no extra payments or penalty. On Slide 6, you will find our fleet as of today that includes the delaying Ultramax newbuilding and the optional Kamsarmax newbuilding and of course the vessels in the water excluding the Aegean Express which we expect to take delivery of within September. In total 30 vessels, seven dry bulk and six containerships. On Slide 6, you can Euromar fleet, our joint venture with Eton Park and Rhone Capital. Euromar has a fleet of seven intermediate and two handysize container vessels between 1,700 and 3,100 teu, and one Post Panamax vessel of 5,600 teu. We remind you that Euroseas owns 14% of this venture and holds 4.1 million in preferred equity, plus a further 4 million commitment to be invested as preferred equity at Euromar’s option. Euromar’s cash position at the end of Q2 2016 was $19.7 million. As already mentioned, our results of the quarter include an impairment charge of $14 million on our equity minority investment in Euromar. As a result of the continued depressed containership markets and the new debt restructuring agreements between Euromar and its banks. Let’s move to Slide 9, for a brief overview of the market. Starting with bulkers, weakness in the BDI continued in Q2 2016 as the index moved from 429 points on March 31, the 660 points in June 30 with rates rising across all sizes. Since then the index has softened to 638 points on August 10 after spiking at 736 points by July end. Daily Cape spot rates averaged $2,645 in Q1, and $6,728 in Q2, Panamax spot rates averaged $3,000 in Q1 and $4,850 in Q2, and Supramax spot rates averaged $3,670 in Q1 and $5,600 in Q2 and currently stand at $5,500, $5,270, and $6,680 respectively. One-years’ time charter rates have moved sideways. Capes from $6,560 per day for the March average to $8,180 for the July average. Panamaxes from $5,100 per day for the March average to $6,100 per day for the July average. Supramax from $5,375 for March to $6,400 per day for the July average. As of August 10, TC rates stood at about $7,600 per day for Capes, $5,900 per day for Panamaxes and $6,000 per day for Supramaxes. In Q1 secondhand prices declined to multi-year lows, dropping to scrap price levels for vessels over 15 years old. However, at least 15% rise in prices has been noticed in the last couple of months. No newbuilding orders were placed, but there were a few re-sales by owners who did not have the capacity to pay for them or yards which have taken them over. These re-sales are at levels of $18 million to $19 million for Ultramaxes, $19 million to $22 million for Kamsarmaxes, and $33 million to $35 million for Capes. These levels are roughly 30% to 40% lower than the price they were originally ordered for. Please turn to Slide 10 for the overview of the containership market. Time charter rates in Q1 and Q2 and July for vessels 5,500 teu have been hovering up to 5,500 teu have been hovering in the region of $5,000 to $7,000 per day with the 1,700 teu vessels earning the most. Secondhand prices dropped even further with 15-year old vessels valued at scrap price. Newbuilding prices were stable. However, activity was almost nonexistent in the last quarter. Idle fleet rose from about 1.35 million teu in mid-January to 1.55 million as of mid-March, but thereafter has dropped to about 0.9 million as of July. Scrapping has also accelerated during the first six months of this year and should this pace continue we are heading to a record scrapping year for containers. Turning to Slide 11, you can review the drybulk age profile and drybulk delivery schedule. The delivery schedule for drybulk vessels in 2016 stands at a very significant 11.9% of the fleet for the full-year. It’s always very difficult to quantify how much of the order book will actually get delivered within a year. Since 2009, around 35% on average of the scheduled order book has not been delivered due to cancellations, conversions, or slippage. In 2015, we saw this number jump to 43%. And this year we expect the figure to further increase to about 50%. Also, scrapping should hit a multi-year high. For 2017, the drybulk order book stands at just 4%, a significant drop from 2016. In all likelihood, this number will rise, not of course due to new orders, but due to 2016 slippage is filling over. 2018 order book is even less and buying a significant new orders which are not expected anyway due to the depressed market. The actual fleet could even slightly shrink during that year. Please turn to Slide 12, the container delivery schedule at the beginning of 2016 stood at 6.8%, and was dominated by the larger vessels. Here again, cancellations and slippages will change the original estimate, but less compared with drybulk market, as the contracts for containerships are usually more robust due to the better overall quality of both owners and yards involved. For 2017 and 2018, the order books slightly increased during the last two quarters as still some liner orders for larger vessels competing for optimal slot size replaced, and now it stands at 6.7% and 5.2% respectively. The retreating market will deter companies from placing new orders, and even incentivize them to delay or cancel pre-agreed orders, as we saw Maersk do with some options they had retained in the couple of months ago. The great majority of the order book as said is for large ships, but cascading is still happening. We have seen, and we continue to see Panamaxes between 3,000 to 5,000 teu being displaced by the new larger ships in the longer routes even more so now that the new Panama Canal gateway has been opened. At the same time though, some of these larger ships have cascaded down to routes that was served by 1,000 to 3,000 teu ships. However, we have lately seen a stabilization of this process with cheaper oil and size restrictions appearing to be putting a break in this cascade process. Please turn to Slide 13, unfortunately the sentiment globally continues to disappoint. Brexit has caught financial markets by surprise and increased uncertainty in Europe with growth revised down despite strong start in 2016. The U.S. remains the bright spot, relatively speaking, and we still expect the better end to 2016. The list of positives includes the adjustment of advanced economies to the new range of oil prices and delayed U.S. monetary tightening. There is some optimism for the emerging economies led by India and better performance by China and, even, Russia and Brazil due to a rebound of oil and commodity prices. China seems to be avoiding a hard landing due to robust services growth and the recent policy support lending rates were cut five times in 2015. India is benefiting from policy reforms although these are quite slow and materializing. On the negative front, though Brexit and its unknown consequences will dampen growth in Britain and Europe at least. Any optimism that existed in the stock markets is trading in parts due to the all-time highs of the U.S. markets relative to the health of the world economy and in part due to investors worrying about overall world growth and therefore becoming more risk averse. Restricted monetary policy capacity in advanced economies and global deleveraging are also negative factors. The U.S. upcoming for presidential election is also delaying investment plans by many investors. The biggest worries of the more however are the regional conflicts and terrorism which continue to hinder confidence worldwide. Slide 14, shows expectations of world GDP growth according to the IMF and also shipping demand growth. Projected world GDP in 2016 is expected to be 3.1%, decrease from the 3.2% projected in the previous quarter. China is expected by the IMF to grow by a healthy 6.6% in 2016, at 0.1% increase from the 6.5% of last quarter. India is still projected to grow by 7.5%, slightly below the 7.5% of the previous quarter. The U.S. is now projected to grow by slightly lower rate of 2.2% from 2.4% in the previous quarter, while Brazil is expected to have 3.3% negative growth in 2016, which however is up from the early projected negative growth of 3.8%. Also, Russia is now expected to do better than previously expected at negative 1.2% from negative 1.8% in the previous quarter. Drybulk growth is projected to be 0.7% in 2016, following 0.2% growth projection in the previous quarter. Containership trade is showing slightly less growth from what was expected during the previous quarter at 3.8% down from 4.1%. For 2017, global growth is expected to be stronger than this year, at 3.4%, though slightly lower than the 3.5% projected to last quarter. If that happens, drybulk and container trade should be slightly stronger too. Let’s hope the IMF projections materialize this time. The last four years though indicate that actual world GDP has always lagged the IMF projections at the beginning of the respective year, by between 0.1% to 0.5%. Let’s turn to Slide 15 to summarize our outlook for the drybulk sector. Market fundamentals for 2016, after the worst first quarter in drybulk shipping ever, appear to be improving amidst record scrapping and better-than-expected demand, especially for iron ore, coal and grain. If demand picks up in 2017, and half of the slipped tonnage of 2016 gets cancelled, the market will be better in 2017. However, it still looks fragile and uncertainty is still very high. 2018 should be even better if demand grows in parallel with expected GDP growth and new orders remain restrained as expected. China remains the main source of drybulk trade growth although its economy seems to be adjusting to a “new norm” of lower growth rate. Iron ore imports is the commodity with the greatest prospects despite the slower steel production. The Chinese government has announced plans to limit steel production by shutting down excess capacity of 100 metric tons to 150 metric tons annually and furthermore the country plans to shut down coal mines of about 500 metric tons capacity annually within the next three to five years. However this can be counterbalanced by increased iron ore and coal imports due to the shut down of local uneconomical mines. So far this year this is what is happening as record iron ore imports into China were recorded for the first half of 2016. Iron ore had a 9% rise year-over-year. Also coal imports into China increased by 8% while domestic coal production was down 8.4% year-over-year and thermal power was also down 3.6% year-over-year. Solid grain imports and Chinese steel exports have given great support to sub-panamax tonnage. India is still looking strong expecting coal trade to grow but less than expected a while ago as the Indian government is aiming for self-sufficiency by developing domestic mines. Please turn to Slide 16 for summary on the containership market. We expect containership demand prospects to improve during the remainder of 2016, however with the lowest overall growth rate for the year ever recorded similar to 2015. The Container Industry has entered maturing stage and growth rates of a growing industry of the past decade are not there any more. We expect a supply demand balance marginally in favor of demand in 2016 and flat for 2017, looking more favorable for demand in 2018. No rate recovery is expected to grow prior to the absorption of the idle fleet which is difficult to forecast when will be completed. The oversupplies in the larger vessels which give some hope for smaller vessels where new supply is lesser than the respective scrapping and trade growth. Developing trading patterns and cascading will eventually determine into smaller vessels market recovers much faster than the bigger vessels market. For the time being ordering has halted but any continuing strategic ordering of Mega vessels from the various alliances, if they happen, will create further worries for 2018 onwards prospects. The opening of the new Panama canal in late June opened new trading patterns and introduction of ultra-large containerships in the USA trades. Massive withdrawals of panamax and smaller post panamax vessels from those trades are happening creating further uncertainties especially of course for this size bracket. Let’s now turn to Slide 18, to view our drybulk employment schedule. Our drybulk coverage for 2016 currently stands at around 52%. We are continuing the practice of employing our vessels in short term contracts or index linked charters in expectation of the market improvement. Let’s turn to Slide 19 for our containership employment schedule. We currently have about 66% coverage in 2016. As with our drybulk vessels the strategy for our containerships has been to employ them on short term employment in the anticipation of the market improvement except where we can earn more than $10,000 per day if that is sought after by various charterers. Please turn to Slide 20. Eurobulk, our manager is continuing to keep our costs low. Our daily costs per vessel for Q2 2016 was in line with our budget and similar to previous years. The graph in this page compares daily costs excluding drydock since 2008 with our peers. Overall, our cost remains amongst the lowest of the public shipping companies. For the second quarter of 2016, our operational fleet utilization was 99.3% and our commercial fleet utilization was 97.2%. Let’s turn to Slide 21. The left side of this slide shows the evolution of time charter rates of Panamax drybulk ships and containers of 1,700 teu since 2001. Container rates are approaching lows last seen in 2010 and drybulk vessels although all-time lows of Q1 2016 are still at otherwise all-time lows. The right hand side of the slide shows the current vessels values in relation to historical prices. Both drybulk and containership prices are at the lowest levels seen in the last 15 years. While shorter term market dynamics may result in even lower prices as many owners are forced to sell either voluntarily due to liquidity issues or by the banks. We believe that we will see a fast improvement once people start to see some light at the end of the tunnel, as already these valuations do not reflect the long-term revenue capacity of the vessels. Assuming that the analyst of IMF are right in predicting slightly stronger global GDP growth in 2017, we should be on track for market improvements in both markets once the current large order books get depleted within the next couple of years; provided of course the industry doesn’t shoot itself from the foot again by starting to re-order new ships. And with that, I want to pass the floor over to our CFO, Tasos Aslidis to take you through our current financials in more detail.
Tasos Aslidis: Thank you very much Aristides. Good morning from me as well ladies and gentlemen. As usual I will now provide you with a brief overview of our financial statements for the three and six months period ended June 30, 2016. For that, let’s turn to Slide 23 and first take a look at our results for the second quarter of 2016 in comparison with the same period of last year. I will repeat here some of the same figures that Aristides gave you in the beginning of the presentation. The results for the second quarter of 2016 reflect the continued depressed state of the drybulk and containership shipping markets. For the period, we reported total net revenues of $7.3 million representing a 22.3% decrease over total net revenues of $9.4 million during the second quarter of 2015. We reported a net loss for the period of $19.2 million and a net loss attributable to common shareholders of $19.6 million as compared to $3.7 million for the second quarter of 2015. As Aristides mentioned earlier, the difference between net loss and net loss attributable to common shareholders is $0.4 million in accounts for the dividends we paid to our Series B preferred shares in the second quarter of 2016. This preferred divided can be paid out at our option either in cash or in kind and we have elected to pay it in kind for the last 10 quarters. The results for the second quarter of 2016 among other items include $0.1 million loss in derivatives, $1.4 million loss on the newbuilding vessel contract termination and $14 million impairment charge on investment in joint venture, our Euromar investment. Basic and diluted loss per share attributable to common shareholders for the second quarter 2016 was $2.42, compared to basic and diluted loss per share of $0.64 for the second quarter of last year. Excluding the effect on the loss attributable to common shareholders for the quarter of the changing derivatives, the gain in the sale of our vessel, the loss on the termination of the newbuilding contract, and the impairment charge on the investment in joint venture, the adjusted net loss per share attributable to common shareholders for the second quarter of 2016 would have been $0.51 basic and diluted as compared to net loss of $0.65 per share basic and diluted for the same period of last year. Adjusted EBITDA for the second quarter of 2016 was negative $0.9 million, again compared to negative $0.1 million achieved during the second quarter of 2015. Let’s now discuss our first half of 2016 results. For the first half of this year, we reported total net revenues of $13.9 million representing a 21% decrease over total net revenues of $17.6 million during the first half of 2015 as the result and part of this is due to the lower number of vessels that we have. We reported a net loss for the period of $22 million and a net loss attributable to common shareholders of $22.9 million, as compared to a net loss of $8.7 million and $9.5 million respectively for the first half of last year. Again, the difference between net loss and net loss attributable to common shareholders is $0.9 million $0.8 million respectively, that reflects the dividends we paid to our Series B preferred shares. The results for the first half of 2016 [amongst our Dayang] again include a $0.3 million loss and derivatives, a $1.4 million loss on termination of a newbuilding contract and $14 million impairment loss on investment in joint venture. Basic and diluted loss per share attributable to common shareholders for the first half of 2016 was $2.82 compared to basic diluted loss per share of $1.64 for the first half of 2015. Excluding the effect on the loss attributable to common shareholders for the first half of this year of the loss on derivatives, gain on the sale of our vessel, the loss of termination of a newbuilding contract and the impairment charge, the adjusted net loss per share attributable to common shareholders for the six month period ended from June 30, 2016 would have been $0.89 compared to a loss of $1.62 for the same period of 2015. Adjusted EBITDA for the first half of 2016 was negative $1 million compared to negative $1.9 million during the same period of 2015. Let’s now move to Slide 24. In this slide, we will provide you again as usual with our fleet performance for the three and six month period ended June 30, 2016, as always in comparison to the same period of last year. We have broken down our presentation of fleet utilization in commercial and operational like every quarter. For the second quarter of this year, we reported 97.2% commercial utilization rate, and 99.3% operational utilization rate as compared to 98.4% commercial and 99.9% operational for the same period of last year. I want to remind you that our utilization rate calculation does not include vessels in schedule drybulk or schedule repairs during the reporting period. In the second quarter of this year, we operated 11.44 vessels at an average time charter equivalent rate of $7,373 per vessels per day, representing a 3.5% increase compared to the time charter of $7,127 per vessels per day that we had in the same period of 2015, during weeks, we operated 15 vessels. Total operating expenses, including management fees, G&A, but excluding drybulking cost were $6,065 per vessel per day for the second quarter of 2016 compared to $6,145 per vessel per day for the same period of last year a decline of approximately 1.3%. Overall, we believe we’ll maintain one of the lowest operating cost structures amongst our public peers, and we think this is one for competitive advantages in the business. Let’s look now at the bottom of this table to our daily cash flow breakeven levels presented here on a per vessel per day basis. For the second quarter of 2016, we reported an operating cash flow breakeven level, including loan repayments, but before any balloon payments of $8,918 per vessel per day, as compared to $8,669 per vessel per day during the second quarter of 2015. Turning our attention now to the first half of this year, on the right part of the slide, we reported 95.4% commercial utilization rate, a 99.6% operational utilization rate compared to 96.6% commercial and 99.9% operational for the same period for the first half of last year. In 2016, the first half we operated an average 11.49 vessels, and had an average time charter equivalent rate of $6,967 per vessel per day, representing a 2% increase compared to the time charter equivalent rate of $6,823 per vessel per day that we had during the first six months of 2015 again period, during weeks, we operated 15 vessels. Total operating expenses, again including management fees, G&A, but without drybulking cost were $6,097 per vessel per day for the first half of 2016 compared to $6,342 per vessel per day for the same period of last year, representing a decline of approximately 4%. Let’s look now again at the bottom of this table to our daily cash flow breakeven levels presented here again on a per vessel per day basis. For the first half of 2016, we reported an operating cash flow breakeven level, again loan repayments included, but before balloon payments of $8,462 per vessel per day, compared to $8,714 during the same period of 2015. Moving to Slide 25. This slide shows on the right-hand side, our cash flow breakeven levels over the next 12 months. And on the left side of the slide we show our scheduled debt repayments, including scheduled balloon repayments over the next five years, and also include our current debt and our assumed debt, that is the debt we expect to draw to finance our newbuildings. We have managed to improve the liquidity of the Company by restructuring or refinancing some of our loans. As of today, we have only a $6.4 million balloon during the fourth quarter of 2016 that we plan to refinance within the course of this year. After that our major balloon payments are not before 2019, when we hear balloon payments of about $17 million. Our loan repayments over the next 12 months amount to approximately $1,400 per vessel per day contribution to our cash flow breakeven, as you can see on the table on the right part of the slide. If we make assumptions about the rest of the operating items, the operating expense, G&A, interest and drybulking will come up with an expected operating cash flow breakeven for the next 12 months of about $8,850 per vessel per day. Let me give you some final highlights from our balance sheet. As of June 30, 2016 we get about $13 million in cash in various accounts and we get debt of $53.7 million that translates of having debt to capitalization ratio of about 42% and the net debt to market value ratio of about 61%. And with this, let me turn the floor back to Aristides.
Aristides Pittas: Thank you, Tasos. I am now opening the discussion for any questions that people may have. Thank you.
Operator: Thank you very much indeed, sir. [Operator Instructions] And you have a question from Wells Fargo from the line of Donald Bogden. And your line is now open.
Donald Bogden: Good afternoon, guys. How are you?
Aristides Pittas: Good afternoon, Donald.
Tasos Aslidis: Hi.
Donald Bogden: Just a quick shock giving question, I joined the call little late, so I apologize if you had already said this. What is the remaining CapEx in 2016 on the uncanceled newbuilding?
Aristides Pittas: Well, we got three newbuildings right, so the first one has been canceled, the second one is facing significant delays and most probably we will have a similar situation. I can’t say too much about it because it’s developing. And the third one, the Kamsarmax, we have the option to cancel that all together, so the remaining CapEx is going to be extremely low if any, yes.
Tasos Aslidis: Yes. Definitely there will be no CapEx in 2016 if the second Ultramax is not delivered and we will see what we will do with the contract of the Kamsarmax, as Aristides mentioned, we have the option, we haven’t decided to call it, but we will see how the market develops over the next five months.
Donald Bogden: Okay. Thank you for that. And then just following up on your negotiations with the shipyard I guess it sort of influx so you can comment to much higher than one point stuck out in the - the studies have the opportunity to buy a proud to vessels in the yard and user deposit for that. Are you seeing a lot of opportunities from shipyards of owners being unable to take delivery to the financial can straight the vessels and those shipyards pushing those contracts to you?
Aristides Pittas: Sure. This is happening to mainly shipyards and with many owners we are particularly focusing to the shipyards where we are building our vessels, but we have seen opportunities from other shipyards as well.
Donald Bogden: Okay. That concludes my question guys. Thank you.
Aristides Pittas: Thanks.
Operator: Thank you very much indeed. Now from Eastwood Partners, we have a question from the line of Tony Kamin and your line is now open, sir.
Tony Kamin: Hello. On Euromar I believe you have a mechanism to potentially merge the companies at a relative net asset value, that’s the right time today within Euromar have any barring on making that more or less likely to occur and what are sort of your current thoughts on Euromar?
Aristides Pittas: Euromar at the moment and the way things stand has a very small value, its NAV might even be negative or very close to that, so we are not particularly focused towards affecting that merger at this point in time.
Tasos Aslidis: It remains the option of Euromar to use their rights to try to merge, but definitely from our point of view even if that happens it will be a non-recurring situation, because we want Euroseas that must have any - provide any guarantees and provided some small preferred investment that could be potentially used, but we won’t see any negative precaution on Euroseas even if Euromar partners may convert their selves into Euroseas.
Tony Kamin: Great.
Aristides Pittas: It doesn’t seem likely to happen at this stage.
Tony Kamin: Okay. So it gives you potentially some future upside optionality, but no real risk?
Aristides Pittas: Exactly.
Tasos Aslidis: That’s correct.
Tony Kamin: Okay. Second question, as you noted there has been increased activity in the stock which has been encouraging, but as of today we are still sort of near the all-time low, so my question is in implementing the [indiscernible] is one of the objectives to kind of act harmoniously or synergistically with the rising share price and volume and to make sure that ATM by itself doesn’t sort of become an obstacle or cap to an increase.
Aristides Pittas: Absolutely. The reason we came out with the ATM was to help existing shareholders rather than because of any need of the company over the additional equity. So whatever we do if we do it, it will be done very carefully not to affect the vessel price and not to be negative for our current shareholders. It will be used to help the trading liquidity in the rising market it may be used if we have a very good acquisition proposal, we feel we need the extra equity, but it will be done having - it’s just another weapon in our [indiscernible].
Tony Kamin: Great thank you very much.
Aristides Pittas: Thanks.
Tasos Aslidis: Thanks.
Operator: Thank you very much. [Operator Instructions] Gentlemen there appear to be no further request for question so I shall pass the floor back to you for closing remarks.
Aristides Pittas: Thank you all very much for attending this call and we will be back to you in a quarter’s time with our Q3 press conference. Thanks very much.
Tasos Aslidis: Thank you.
Operator: Thank you very much indeed gentlemen. And with many thanks to both our speakers today. That does conclude the conference. Thank you all for participating. You may now disconnect. Thank you gentlemen.
Tasos Aslidis: Thank you, Jenny.
Aristides Pittas: Bye.